Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Q1 2022 UFP Industries Inc. Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a Q&A session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker Mr. Dick Gauthier, Vice President of Communication and Investor Relations. Please go ahead, sir.
Dick Gauthier: Welcome to the first quarter 2022 conference call for UFP Industries. Hosting the call today are CEO Matt Missad, and CFO Mike Cole. Matt and Mike will offer prepared remarks and then the call will be opened for questions. This conference call is available simultaneously in its entirety to all interested investors and news media through our webcast at ufpi.com. A replay will also be available at that website. Before I turn the call over to Matt Missad, let me remind you that today's press release and presentation include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from the company's expectations and projections. These risks and uncertainties include but are not limited to those factors identified in the press release and the filings with the Securities and Exchange Commission. Now I would like to turn the call over to Matt Missad.
Matt Missad: Thank you Dick and good afternoon everyone. It is an amazing time. The music’s pumping, crowds excited and the UFP team is shouting, turned down for what? Even with macroeconomic and geopolitical party crashers, the team is executing their plans to keep the momentum going. They produced an unbelievable first quarter, which on its own is a third best year in UFPI’s 67-year history. I am extremely grateful for their efforts and proud of their ability to set new first quarter records like these. Net sales of $2.49 billion, pre-bonus operating profit of $329.3 million, gross profit dollars of $478.4 million and earnings per share of $3. We suspect many investors will be pleasantly surprised with these results. We've explained our balanced business model as well as our natural hedge against lumber market price fluctuations in the past, and the proof of these benefits is included in the record quarterly results. I will keep highlighting this message of diverse products, customers and markets, which complement each other and make UFPI a unique and rewarding investment. But the credit for our performance goes to our great UFP teammates who continue to post these outstanding results. Investors may question how we continue to post exceptional numbers when the lumber market is so volatile. UFPI in 2022 is a different more diverse company than it was 15 years ago, or even three years ago. In the late 2000s with our heavy concentration on retail and construction markets, we were less insulated from adverse effects of lumber market swings. Prior to our new structure, our operations were less cohesive for national customers, which created inefficiencies and other challenges. Today with a much broader market presence in retail, construction and industrial, we have a balance of customer types and pricing methods, which serves as a natural hedge. While the lumber market swings may impact part of our businesses, the other parts of our business act like a counterbalance. When we execute like we have, it works quite well as you can see from the results. Of course sales dollars will fluctuate with the overall lumber market, which is why we focus on unit sales and gross profit dollars per unit. You're probably wondering why I'm explaining this today when it is concept most of you know, my reasoning is simple. We believe UFPI is a great long term investment. I don't want you to wake up one day and say I wish that man had told me more about that UFPI opportunity. Regret can be tough. So I'm telling you now so you can avoid a case of FOMO in the future. To affirm our belief in the company's long term value, we repurchased 800,000 shares so far this year, which nearly covers all of our issuances under our compensation and employee purchase plans in 2022. And the repurchase price was less than the issue price. We still have additional repurchase authorizations remaining as well as ample capital. We'll talk more about capital allocation and future outlook in a few minutes. But first let's review the individual segments. In the retail solution segment, unit sales were up 12% and gross profit dollars were up 34%. Our ProWood and Sunbelt units with their concentration of variable price products at a very nice quarter as variable price products did well. Our purchasing and operations teams have done a very nice job at Sunbelt to reduce lumber market impacts too. Sunbelt also began production at its new facility in Sterling Georgia, which provides a significant transportation advantage for the Savannah, Georgia and South regional market. It will also allow some more import and export advantages via the Port of Savannah. ProWood is adding a new ProWood fire retardant location in Q2, which will bring capacity nationally to 45 million board feet. The new two hour fire assembly is expected to generate strong customer interest in the back half of 2022. UFP-Edge or Siding, Pattern and Trim business grew unit sales by 7% in the quarter. They continue to add production capacity each week. But some manufacturing components for their new line are delayed so full production capacity will not be achieved until Q4 of this year. Deckorators Composite Decking unit sales increased 5% in Q1 while Plastic, Lattice and accessories saw declines. Demand for the mineral base composite product continues to grow and our additional capacity should be completed this year as scheduled. The Deckorators team is also scaling the new Ultra Aluminum product line into UFPs existing customer base which is going very well. Hand print the home and decor business unit continues to grow and expand new customers with its cutter sized product offering. The Outdoor Essentials product line continues to expand as well and this spring we are introducing the Haven [ph] collection of raised garden beds and planters. These are e-commerce friendly designs using mixed materials with tool free assembly. This is a great example of our core line innovation process, which takes old ideas improves them and makes them more easily marketable both in store and online. UFP construction unit sales increased by 15% in Q1, and gross profit dollars increased 82.7%. Our site built business unit continues to benefit from strong demand. Engineered wood products such as LDL remain in short supply, but our design and engineering teams are using their expertise to redesign roofs and floor systems to utilize more readily available alternative products. Our endurable acquisition now has the largest backlog in their history. And we continue to scale v's and other new products such as light gauge steel in new markets. In addition to the New England capacity, we have added light gauge steel in North Carolina and Tennessee. We also continue to perform more value added services such as exterior envelope panels, which include both siding and windows. Our growth has been slowed by the lack of available labor in certain markets. And while this is disappointing, we see other companies have a similar problem, which overall may help prevent overbuilding in the marketplace since the ability to deliver completed homes is moderated by the labor shortage. Our factory built unit remains strong as manufacturers add capacity for more affordable small homes. Although not historically, a big part of our business recreational vehicle sales have slowed in Q1. While the recreational vehicle manufacturers remain optimistic higher interest rates and higher grass gas prices will put additional pressure on the RV market. The commercial construction business unit is progressing as expected in 2022. And our concrete forming solution sales grew nicely in the first quarter. We continue to add talent to our team and expand our full service model to additional locations. Throughout the first quarter we have seen very little impact from the federal infrastructure bill. UFP industrials unit sales declined by 3% while gross profit dollars increased 86.7%. As we discussed, unit sales comparisons are more challenged as the industrial team converts high volume commodity type sales to lower volume, but more value added sales. The growing value add component is evident in these results. In the structural packaging arena, our strip pack corrugated and wood container is gaining more converts. This product line is easily scalable and gaining very good traction. We are also growing our structural steel components and packaging as well with our new Georgia facility coming online by the end of Q4. PalletOne is expanding machine built pallet production outside of the geographic areas they previously served. This was a key part of our scale and synergy plan which is proceeding on schedule. We also continue to uncover more opportunities to improve. The protective packaging team is leveraging its recent acquisition of advantage label and expanding the sales effort on labels and tags nationally. And our international group continues to show strength in Mexico, Australia and in a recent acquisition in India. Timber sales from Eastern Europe, which are not material to UFPI overall, have been shut off due to the war in Ukraine, so our sourcing teams have been working hard to procure fiber from other parts of the world. Our European effort in Italy has been slowly rebounding as COVID restrictions have lifted, but their sales to Middle Eastern manufacturers have been slower and less profitable than anticipated. The key building blocks of successful innovation is new product introductions. Our new product sales in the first quarter were $151 million, which is well ahead of the pace necessary to hit our 2022 goal of $525 million. We also recognize the need to keep our new product pipeline full as we develop innovative groups of products with larger scale and application. We will be allocating additional capital for Innovation Fund which will find or create new products with a high degree of intellectual property value and develop them to the point of commercialization with the help of our innovation accelerator team. Once commercialized, these products will be absorbed into the appropriate business unit or units. Historically, our operations have been reluctant to make these types of long term investments which can have an uncertain payback on a local level. This innovation fund can absorb these development costs which are expected to be repaid at the time of commercialization. In the meantime, each segment will continue to invest in creating core line innovations and new products with rapid commercialization potential. With a great first quarter now behind us what's the outlook for the balance of the year? First, new home construction is expected to plateau in Q3 and Q4 given higher interest rates and inflation, which impact affordability and may influence whether more projects are multifamily versus single family. Current trends show multifamily starts up significantly, and we are well positioned to succeed because we serve both single family and multifamily customers and because the majority of our facilities are in geographic areas, which are projected to have strong population growth over the next decade. The repair and remodel market which is a good guideposts for retail big box remained solid and is in line with pre pandemic levels thus far. With lack of available housing inventory and homeowners having increased equity in their homes, repair and remodel becomes a more attractive option versus moving. Bigbox and independent retail customer feedback indicates that northern markets have started slower with a delayed spring in many areas, while southern markets have performed as expected so far. Pull through and Q2 will be a key data point for the back half of 2022. Durable goods manufacturing was down slightly through February but remained solid for our industrial customers. Many manufacturers continue to work through their supply chain issues, which tends to extend order files. The manufactured housing institute is predicting another strong year with extended lead times while the RV market lags as I mentioned. These highlights point to a good solid 2022 which is a very positive environment for us to operate in. Obviously, not everything in the forecast is moonbeams and butterflies. There are some challenges and a few headwinds, but I'm confident our teammates will navigate them as well as anyone. Just a couple of factors that will challenge us. The first is inflation. Wages, benefits, consumables, resins, metals and commodities are all seeing costs increase. We are doing our best to pass these costs along, yet at some point the total of these costs are likely to slow growth. Interest rates, we're hopeful that the Fed will exercise due caution and restraint when raising rates. We hope they don't repeat history by raising rates too fast without allowing the typical three to six month lag between Fed decision and reaction and actual businesses. In either scenario UFP strong balance sheet will allow us flexibility to take advantage of opportunities in the marketplace to strengthen our long term value. Labor is another challenge. We continue to employ creative solutions and looks for new ones to increase our applicant pool and encourage people to come back into the workforce at UFP. Our spring hourly bonus was very well received and we plan to incorporate some type of additional annual incentive as part of our permanent hourly incentive plan. Transportation remains a challenge from both an expense standpoint and availability, rail and ocean freight have improved slightly while trucking has remained spotty depending on geography. We have provided extra incentives to our truck drivers for their service, which is helping with recruiting and retention. The last challenges around SEC and other regulatory disclosures and requirements. The SEC has proposed disclosure rules around topics for which there is no legislative requirement. The regulatory changes and additional requirements continue to increase our non-value added expenses. These expenses coupled with potential tax increases could have a negative impact on earnings in the future. As always, UFP will face the challenges head on and keep our focus on protecting and enhancing long term shareholder value. One of the most important ways to combat the headwinds is through effective allocation of capital. We prioritize capital on growth, creating long term value and providing a solid return to our shareholders. Our growth capital is directed to strategic acquisitions, new products and services, expansionary and efficiency capital expenditures. We have plenty of acquisition targets in the pipeline, but we'll keep our disciplined approach and adjust our model consistent with our view of the future which is consistent growth albeit at a slightly lower growth rates in 2020 and 2021. Our return of capital as shareholders take three forms; share repurchases, cash dividends and increase in share value. The performance of the UFP team delivered significant dry powder to pursue the shareholder returns. In addition to the share repurchases, we believe that a consistent and growing dividends adds value to our shareholders, and are pleased to report that our board authorized an increased dividend of $0.25 per share payable on June 15, to shareholders of record June 1. As for increasing the share value itself, we plan to keep demonstrating our performance as well as enhancing our marketing effort to attract new investors who may be skeptical of the complexities of our company, and may simply not know enough about us to make an investment. Now I'd like to turn it over to Mike Cole, who will provide more details on our financial performance.
Mike Cole: Thanks, Matt and good afternoon everyone. Our consolidated results this quarter are highlighted by 10% unit sales growth including 3% organic, 80% adjusted EBITDA growth, EBITDA margin expansion of 280 basis points to 11.7%. A trailing 12-month return-on-invested capital of nearly 30% and a strong balance sheet with net debt-to-EBITDA less than 0.5 times despite being at a seasonal peak for investments in net working capital. Now we'll walk through the financial statements for the quarter in more detail starting with our sales by segment. Sales for the retail segment increased 31% and consisted of a 19% increase in selling prices. Unit growth from acquisition of 14% or 3% decrease due to the transfer of certain sales to our construction segment as we continue to try to align business optimally in our segments in organic unit growth of 1%. In retail, we anticipated tough organic growth comparisons this quarter. As you may recall in the first quarter of 2021, orders from our retail customers were exceptionally strong and then significantly tapered off later in Q2 and Q3 when the economy opened up and consumer spending shifted. Looking forward, year-over-year, comparisons in Q2 and Q3 should be more favorable. I should also point out that organic growth varied by business unit as increases in UFP-Edge and retail building products were offset by declines in our other business units. As a reminder, our Deckorators business unit includes a variety of other products besides composite decking. Sales of accessories such as plastic lattice, railings and post caps reported a decline of 13% while our composite decking unit sales increased by 5%. Our ability to expand capacity contributed to our unit increases in Deckorators decking and UFP-Edge as we were able to better meet strong demand for our products. Looking forward, the investments we've made in these business units provide the capacity to add 100 million of annual sales. Lastly, our acquisition unit growth this quarter includes Ultra Aluminum, which was purchased in early January. Ultra is a high end manufacturer of aluminum fence and railing systems which fills an important gap in our product portfolio. Sales to the industrial segment increased 36%, which includes a 39% increase in selling prices as we continue to improve our value added product mix, execute value based selling initiatives and maintain pricing discipline. Our unit sales from acquisitions increased 1%, including the impact of our purchase of advantage label. Consistent with our discussion last quarter, organic unit growth declined 4% due to capacity constraints, and as we continue to be selective in the business we take in order to focus on higher margin value added products. Strong execution of the sales strategy again resulted in a tremendous improvement in our gross profits which I'll review shortly. The components of our changing organic unit sales includes market share gains associated with a $36 million in sales to new customers, 18 million of sales to new locations of existing customers and 22 million of new product sales demonstrating the balance of organic growth channels. These gains are more than offset by the intentional loss of unit sales on less profitable accounts. Finally, our sales to the construction segment increased 41% consisting of a 26% increase in selling prices, 3% growth due to the transfer of business from retail,11% organic unit growth and a 1% contribution from acquisitions. Organic unit growth was driven by a 13% increase in concrete forming a 30% increase in commercial and a 16% increase in factory built housing. Capacity constraints on our site-build business unit remain a challenge, so we continue to focus on being selective in the business we take and exercise pricing discipline. Order files and backlogs of each business unit remain strong. Moving down the income statement, our first quarter gross profits increased by $192 million or 67% and significantly outpaced our 10% increase in unit sales as our profit per unit improved. By segment industrials, gross profit increased by $69 million or 87%. Besides acquisitions, which contributed $2 million to the increase, value based selling and favorable changes in product mix were the primary drivers for the increase in gross profits. Constructions gross profit increased by $73 million or 82% led by a $37 million increase in site-build a strong demand has allowed us to be more selective in the business we take. And a $25 million increase in our factory built business unit as strong organic growth has given us the ability to leverage fixed costs. Our concrete forming business unit increased its gross profit by $8.5 million, which includes $3.8 million as a result of the transparency of sales from retail. Retail increased by $34 million or 34% for the quarter, including acquisitions, which contributed $12 million to the increase. The remaining increase was primarily driven by Edge and Retail Building products totaling $8 million, ProWood and Sunbelt totaling $12 million and Deckorators totaling $3 million. Moving -- continuing to move down the income statement, our SG&A expenses increased $70 million, including $5 million from recently acquired businesses. The remaining $65 million increase consists of a $33 million increase in bonus expense, a $13 million increase in sales incentives, a $10 million increase in wages and benefits and a $3 million increase in travel costs. Sequentially, our SG&A increased from $178 million in Q4 to $220 million in Q1, primarily due to bonus expense as a result of an increase in our pre bonus operating profit, wages and benefits and sales incentives driven by an increase in our gross profits. Finally, our operating profits increased nearly $122 million driven by a $46 million increase in construction, a $42 million increase in industrial and an $18 million increase in retail. Acquisitions contributed $9 million to the operating profit increase in retail and $1 million to the increase in international. Moving on to our cash flow statement. Our cash flows used in operations for the quarter was $248 million and consisted of net earnings and non-cash expenses totaling $228 million compared to $128 million last year, and the $476 million increase in net working capital since the end of last year, compared to a $325 million increase in the prior year. We measure our cash cycle to assess our working capital management and increased to 53 days this year, which is consistent with our historical trends five days higher than last year due to an increase in our day's supply of inventory to ensure we meet our customers delivery expectations. Our investing activities included capital expenditures of $29 million including expansionary and efficiency CapEx of $15 million, and we invested $25 million on previously announced acquisitions. Finally, our financing activities included $102 million of net borrowings on our revolver to support seasonal investments and working capital and $13 million of dividends paid this quarter. With respect to our balance sheet at the end of March, our total debt net of cash was only $410 million compared to $965 million in trailing 12-months EBITDA and our total liquidity was $445 million. I'll finish up with comments about our capital allocation plans. The strength of our cash flow generation and conservative balance sheet provides us with plenty of capital to grow our business and also return to shareholders. We continue to pursue a balanced and return driven approach. Specifically, our board just increased our quarterly dividend to $0.25 a share representing a year-over-year increase of 67% reflecting our confidence in our future business outlook. We continue to consider our payout ratios and yield when determining the appropriate rate and are pleased to once again raise our dividend. At the end of March and so far in April, we've repurchased 800,000 shares of our stock and an average price of about $77.50 a share under our 10b51 share repurchase plan. You'll notice on a cash flow statement that only 500,000 of this spend occurred in fiscal March with remaining 62 million spent in fiscal April. We have remaining authorization to repurchase another 1.8 million shares. Moving on to growth, we're continuing to target CapEx of $175 million to $225 million. Priority continues to be given to projects that enhance the working environments of our plants. Take advantage of automation opportunities, and drive strategies that have strong long term growth potential of new and value added products. Notable projects include investments to expand UFP-Edge geographically, enhance automation and expand the capacity of our machine build pallet and other structural wood packaging operations, enhance automation and expand the capacity of our site-build operations including geographically and expand our transportation fleet to meet our customer’s needs. Lastly, we continue to pursue a healthy pipeline of acquisition opportunities for companies that are a strong strategic fit with high return and growth potential. That's all I have on the financials, Matt.
Matt Missad: Thank you, Mike. Now, I'd like to open it up for any questions you may have.
Operator: Thank you. [Operator Instructions] Please stand by while we compile the Q&A roster. Our first question will come from Stanley Elliot with Stifel. Please go ahead.
Stanley Elliot: Hey, Matt, Mike and Dick. Thank you guys for taking the questions. Quick question, I guess starting off, thinking about the SG&A on a dollar basis on a go-forward, I mean I get the inflation in the wages. You -- will those 46 million have incentive to continue to address -- I know you mentioned something about a balance or a bonus program at the end?
Matt Missad: Yes, the way that I would look at SG&A, Stanley is I’d wheel off of the Q1 numbers. Those all of our all of our wage increases are raises for salaried employees in particular happened in Q1. A lot of our headcount increases have already occurred and acquisitions have been completed as of the beginning of the year. So it's a good number to wheel-off of. But then what I would do is, is that modeling increases associated with bonus expense in future quarters, and I'd model in increases in sales incentives in future quarters. And the way that I would do that is we accrue roughly 20% bonus expense on pre bonus operating profits. And so to whatever extent you model, operating profits increase in future quarters, that's how I would handle the bonus expense. And then if you have gross profit changes, sales incentives are about 5% or so of gross profits.
Stanley Elliot: Perfect. And then thinking about the kind of the single family versus the multifamily dynamic going on right now. I imagine obviously more volume going into multifamily. Is one more profitable for you all than the other, just curious kind of thinking about those markets individually?
Matt Missad: Yes, I think that's a good question, Stanley. So what I would tell you is multifamily tend to be multi storey. So you're going to have probably fewer roofs, relatively speaking, per floor system. So that would probably be the biggest area that I would say, but I think the multifamily projects allow you to get more efficient in your manufacturing as well. So there's a bit of a trade off, but I would say volume per unit in a multifamily is lower than it is in a single family. But there are some efficiency that you can make up on the manufacturing side.
Stanley Elliot: And I guess last for me, we've mentioned a very active M&A landscape right now, given your thoughts or concerns; I guess some might have on where we are in the residential cycle. How are you all thinking about managing the balance sheet and you've mentioned sub five on net debt to EBITDA basis, it's very comfortable. But just curious kind of how you're thinking about leverage levels.
Matt Missad: Yes, we're -- we continue to value a conservative balance sheet, and we continue to plan to reserve plenty of dry powder for the future. And so I don't think anything's changed with respect to how we're thinking about our capital structure. And so we'll be continuing to be conservative going forward. And as you know, the types of transactions we get an opportunity to participate in tend to be smaller transactions. The larger transactions tend to trade at multiples that we feel make it difficult to earn a reasonable return on investment. And so we tend to play at the smaller end of the transact transaction size type, and with opportunities to scale it up and take something from 10 million to 100 million. That's kind of how we think about things and how we, how we go about our business.
Stanley Elliot: Yes, this should be another good cash flow year second fund a lot out of that. I'll hop back in the queue. And let others give their questions, thanks so much.
Matt Missad: Thanks Stanley.
Operator: Thank you. Our next question will come from Reuben Garner with Benchmark Company. Please go ahead.
Reuben Garner: Thank you. Good evening, everybody.
Matt Missad: Hey, Reuben.
Reuben Garner: So the industrial gross profit improvement, pretty impressive yet again, with volume, organic volume or unit gross off a little bit. Can you just talk about how much more runway there is there in terms of your ability to mix or shift your mix? Is there a point where we're kind of anniversarying the start of some of these changes and maybe that the rate of that change slows down substantially?
Matt Missad: Yes, I think that's a great question, Reuben. I can't really give you a specific answer. But I can tell you anecdotally that we still think there's a lot of runway left in converting what I call the sticks and panels type sale to the more value added sale. So and I know the team is doing a great job of doing that today. But I think they would definitely echo the fact there's a lot of opportunities yet there. So is it going to be an exponential from where we are? Probably not. But it will definitely be a continued effort and there should be continued runway on it.
Mike Cole: [Indiscernible] number to it Reuben. I think we track and disclose or evaluated sales by by segment. And thank you. And I want to say it's between 70%, 75% values add. So there is still quite a bit of runway to get to be I'd be happy at 100. So there's still going be a little bit of runway with that kind of rule.
Reuben Garner: Where was that number a couple of years ago, Mike, it was that disclosed kind of pre pandemic or did the business unit change?
Mike Cole: Yes, I wish I could answer that for you. Because of the reason we have it now is because of the change in structure. And so I don't have that available pre 2020.
Reuben Garner: Okay, got it. Let's see. So you're, Matt, your comments about maybe a plateauing of the new housing market. Does -- it doesn't sound like that's changing your outlook on your CapEx spending? Is there a point where I'm sure there is a point, but are we nearing a point where, the rise in rates would concern you enough to not move forward with additional capacity on the site built side?
Matt Missad: Yes, I think where we're putting capacity, Reuben is in the areas that we think there's going to be continued growth over the next decade or whether it's population shifts or other reasons. We're very comfortable in the markets we're in and trying to add additional capacity there is important to us, I would tell you that even if even if housing were to be more flat year-over-year, that's still a really good market for us and a good sized market for us. So for us to be able to produce more for the growth markets that we're in, I think we're committed to that long term.
Reuben Garner: Okay, great. I'm going to sneak one more in. Last year in the second quarter, the pricing action in lumber, I think was pretty similar to what we're what we're seeing here in the last few weeks or so. Should we expect similar impact on your gross profits in the retail division? Are there any differences to think about on a year-over-year basis Mike, that would change kind of, I mean, I think the rate of change is roughly comparable. But any other thoughts or comments? I know you guys haven't -- your acquisitions to the [Indiscernible] in fully this year maybe? Maybe there's some difference there.
Matt Missad: Yes, before Mike jumps in, Reuben, I’ll remind you that I made a comment about what the team had done at Sunbelt, which I think was a really good thing in terms of strengthening their position in the marketplace and insulating themselves a little bit from market fluctuations. So I think that would be a difference that would be in a positive direction. But Mike can probably give you more detail.
Mike Cole: Yes, the only thing that I'd add on to that is just the severity and the time period at the drop, right. So last year, it was a pretty severe drop. That happened pretty quickly and that had obviously had a real tough, tough impact on retail. You might recall we did a pretty significant lower of cost or market rate down on retail last year. So that would be one factor. But one thing to mitigate and that kind of refer to it is the impact. We've been able to have the teams been able to have from owning Sunbelt and Spartanburg for the year. And so one of the positive things that we've been able to implement there is vendor managed inventory. So that is something that helps us mitigate the impact of a drop in the lumber market like that. So last year, they didn't have any vendor managed inventory this year, they, they've incorporated that into their mix. And so it should, it should help.
Reuben Garner: Thanks, congrats again, guys. Thanks for your questions.
Matt Missad: Thanks, Reuben.
Operator: Thank you. Our next question will come from Kurt Yinger with D. A. Davidson. Please go ahead.
Kurt Yinger: Good afternoon, Matt, Mike.
Matt Missad: Hi Kurt.
Kurt Yinger: Hey, I just wanted to start out on the site-built side. I mean, still positive in the quarter and up against the top comp, but maybe a bit softer than I would have thought. How much of that do you think was impacted by your own capacity constraints? And then second, could you just give a bit more color on backlog heading into Q2 and whether you're seeing or hearing any changes in body language from customers that I guess would make you think that the back half can be a little bit flatter? Or if that's just kind of your own I guess expectation based on everything you've seen?
Matt Missad: Yes, Kurt. I think what I would tell you is, if we had more labor, we could have produced more. The capacity, we're not able to utilize our entire capacity simply because of labor. So that definitely is an issue that that has impacted our ability. I will say the outlook from our customers has been very strong. The outlook from our leaders in that team has been very strong. When I referenced, housing flattening off in Q3, and Q4, that's more from the big picture economists that are out there talking about than it is from our internal belief, I think, again, the regions that we are in that we do business in, we have very good lead times that are extended beyond what they typically would be. And I know for multifamily, in particular, we're out into 2023. So I think our team feels very good about it. And I think to the extent some of the labor can free up and we can get more and more people to come join our team that would be a benefit.
Kurt Yinger: Got it. Okay, that's helpful. And then, recognizing that the construction, gross profit dollar growth is still very strong. I mean, good to see gross margins may be moderate a bit after some really beautiful improvements last year. Is there anything within that that you would maybe attribute to mix impacts within the different markets or any sense that the ability to re-price or leverage pricing with customers is getting more difficult than it was last year?
Matt Missad: Yes, I think there's a lot of a lot of things built into that question. And so if I understand it, you talked about maybe mix change, having some impact. I think at this point, there hasn't been any significant change in our ability to provide the product. The customers have been very forthcoming about needing to have products. So as long as the volumes remain reasonably where they are today, I would expect that to continue. We've been around long enough, it was a different situation. Overall, economics wise, it would be a different situation, probably the pricing, but I think our teams have done a great job of building in value and being aware of the value they provide. And comparing that with what can be done in a stick built basis on-site, we still provide an excellent value. So I think that that pricing authority, I'll call it is not really based solely on just what the market will bear. It's based on the value that we're providing.
Kurt Yinger: Okay, that's helpful. And one on the retail side, could you just remind us the timing around the capacity investments that you've made in Deckorators, and when you're kind of full force there on volume, and then looking at the divergence in injecting versus accessories growth, the last two quarters, any high level thoughts on that? I mean, kind of recognizing that maybe the decade side was a little bit more capacity constrained, and so that's one variable. It still just seems a bit odd that the two are so different.
Matt Missad: Yes, so I think it's probably more product specific Kurt than anything. So we talk about Plastic lattice for example, that that product category is has basically suffered more. So and from our perspective, the decking has been capacity constrained. So to answer your question there, I believe the mineral base composite expansion should be completed substantially by the end of Q2, and then you have the normal ramping period. So I imagined, mid-to-late Q3, we'd be able to have the production capacity available with respect to the wood plastic composite that's in process today, again, probably later into Q3 when that gets completed, and it'll be in place for some time in Q4 will be fully functional. That's the current plan.
Kurt Yinger: Got it? Okay. Thank you. And on ProWood, how much of the softness in volume is there the last couple quarters would you kind of attribute to consumer pullback given the elevated pricing environment versus I guess what you kind of think about underlying DIY decking sense kind of project activity overall?
Matt Missad: Yes, that's a good question. And I don't know that I have a really good answer for you in terms of how much is based on just pricing being high, versus some kind of structural change in the market, I still think the product is going to be in a strong demand, probably a hyper demand in 2020 and a little bit into 2021. So I think it's kind of returning to more of a normalized demand cycle. Mike, I don't know if you have anything to add on the pricing issue, whether that's a deterrent?
Mike Cole: That makes sense. We certainly suddenly feel like we saw that early. Or we feel like we saw that in 2020, where in early 2021, where demand where price has just got so just got so high -- projects just got deferred.
Kurt Yinger: Okay. All right. Well, I appreciate all the color guys, and I'll turn it over.
Matt Missad: Thanks, Kurt.
Operator: Thank you. Our next question will come from Julio Romero with Sidoti. Please go ahead.
Julio Romero: Hey, good afternoon, everyone.
Matt Missad: Hi, Julio.
Julio Romero: In the industrial segment, can you just speak to how much of a driver PalletOne has been for industrial?
Matt Missad: So for obviously, for the machine build Pallet’s it's been the driver for that product line. They've also done a terrific job both working with our existing industrial facilities, and our industrial facilities working with them. So there's been a sharing of customers and opportunities. As I mentioned, we're adding equipment in other locations outside the PalletOne geography that the UFP industrial team has been able to help with. So we've basically been able to accelerate their expansion plans. And they've really been a significant piece of that industrial growth. But I don't want to take anything away from the structural packaging aspect of it, which, to me has been outstanding in terms of how they built up their product lines, how they have become much more of a solution provider, and how they've demonstrated to the customers the value they're bringing. So I would say that as a bigger driver, but PalletOne has really been a significant impact.
Julio Romero: Got it. I appreciate the color there. I guess, more broadly across the portfolio, if you could just speak to pricing power and how you feel about your ability to continue to expand pricing per unit over time.
Matt Missad: So as a vendor, I'm going to make an assumption that I have very little pricing power. Our goal is to make sure that we provide the highest value we can to our customers. We have to have a value proposition that makes sense for them. And our goal is always to have a better value proposition than our competitors do. So that would merit a higher price for our products. That's about the best I can tell you there, Julio.
Julio Romero: Understood. Thanks very much for taking the questions.
Matt Missad: Thank you.
Operator: Thank you. Our next question will come from Jay McCanless with Wedbush. Please go ahead.
Jay McCanless: Hey, good afternoon, guys. Thanks for taking my questions. Matt, the first one I have is where do you think your capacity utilization was in 1Q 22 versus last year in 1Q 21?
Matt Missad: Outstanding question. Are you talking overall, or are you talking about a specific market?
Jay McCanless: Just overall.
Matt Missad: Boy, that's really, really hard to say simply because of the total difference. But I would tell you just kind of anecdotally, in my visits to our facilities, there are very few, if any, that have been able to fully staff a second shift. And that's kind of my measure of capacity utilization, if you can fully staff two shifts; you're pretty much at functional capacity. So whether it's…
Jay McCanless: I mean, how does that compare to last year? I would assume would [Technical difficulty] be?
Matt Missad: Yes. Sorry, Jay, you cut out there. But I think if the question was, how does it compare to 2021? There, has there been a little bit better labor situation? I would say yes, it's a little bit better. But it's only in the margins. It's not, it's not a significant, it's not like a 10% increase in capacity utilization. I think where we've gotten the extra capacity is from organic growth, adding more equipment in that's been more efficient and drives more volume that way. But I think labor is still probably the governor on our ability to continue to expand capacity.
Jay McCanless: But the point of the question, I mean, I know optically lumber pricing was up, that's going to help drive a higher gross margin, but I didn't know if it was more a an increasing capacity utilization, or some of this pricing rationalization that you guys have done in industrial and construction to drive such a, I mean, I think the highest gross margin quarterly gross margin you guys have had in the last six or seven years. So that's mainly what I'm trying to get to is, is it more about the pricing actions, versus being able to produce more goods?
Matt Missad: Yes, I don't think too much of it. And maybe a little bit, but I don't think a lot of it's based on operating leverage that we picked up from additional capacity utilization.
Jay McCanless: Thank you for that. And then my second question. Mike, can you give that SG&A dollar breakout from 4Q 21 to 1Q 22 again, please?
Mike Cole: Yes, I think our actual was $178 million, and it's this this quarter, it's $220 million. And so when Stanley asked about going forward, that's where I made the comments to wheel off of Q1, because it's most representative of where we're at. And it's a good starting spot. So and then, and then modeling and bonus, bonus increase at 20% of pre bonus operating profit changes going forward. And then sales incentives at 5% of gross profit changes going forward.
Jay McCanless: That's on gross profit dollars, correct?
Mike Cole: Correct.
Jay McCanless: Okay. And then I guess the other one I had for Matt is, I keep hearing from different people that that this engineered wood shortage just isn't getting any better. What I guess could you maybe give us a little backstory on that, and what the manufacturers are telling you, as to when we might see an improvement there or even inflection on when that availability is going to start to improve?
Matt Missad: Yes, I think if they're able to get some more capacity online, in again, anecdotally, I would say that they've had some of the same labor challenges to which is been somewhat of a limiter on what they've been able to produce. There's little pockets where they have said, yes, it's, it's getting a little bit better, still not enough. And so again, we were trying to utilize that situation, our ability to design and engineer kind of around some of those products using some of our alternatives. And in meeting the customers need that way. But I don't have a great answer that is consistent from the producers, other than to say, it should get better. I just don't know when.
Jay McCanless: And then, and I did have one other one. Sorry, on the concrete forming business. I know you said in the prepared comments. You haven't seen any blip up in business yet from the infrastructure bill, but when might we expect something along those lines? What’s your team thinking there?
Matt Missad: Yes, I think in the conversations with our customers there, they're basically pointing to the fact that the bill itself, there may be somewhere in the neighborhood of a sixth of it is really true, concrete related infrastructure projects, and of those the bulk of it is repairing bridges, and roadways. And from the products that we provide, we don't do a whole lot for those types of products, new bridges, water filtration plants, of which there's a few of those that are where will benefit. So I still think we'll see some benefit out of it. But it's not as if 100 billion is going to go into the products that we provide product to.
Jay McCanless: Okay, great. Thanks, guys. Appreciate it.
Matt Missad: Thank you.
Operator: Thank you. Our next question will come from Ketan Mamtora with BMO Capital Markets. Please go ahead.
Ketan Mamtora: Good afternoon, and thanks for squeezing me in here. Just first question, Mike when I sort of, obviously, balance sheet is in great shape, we talked about the M&A pipeline being good, as you look at the three segments, has a relative sort of attractiveness of anyone of those segments kind of changed in the last sort of, couple of years, as you think about, growing each of these, different segments, both organically versus kind of inorganically?
Matt Missad: So, Ketan, I guess I'd tell you, I have three kids, and I love them all. So yes, are there days when you like one better than the other for sure. But I think they all have great potential. And they have, they have their own runways designed. And we all have a similar goal in mind, which is to improve our overall EBITDA percentage. And I think they're all making really good strides towards that. So we will take a look at the market, we'll take a look at the opportunities. And that's one of the things that Mike and his team worked on when they talk about allocating capital, which particular investment has the best return. And we do that regardless of which business unit or segment it's in. And I think that's, that's the way that we look at allocating capital. And that kind of gets you to the same spot you're talking about. But, I love all my kids.
Ketan Mamtora: Understood. Matt, where would you say, though, you have found the most opportunity to grow? Is it fair to say that it's still on the industrial side?
Matt Missad: Yes, I think if you if you were, if you were sitting in the meetings with our team, they all have opportunities to grow. There's a very clear path on the industrial side to go much, much bigger. And so I think other ones may have a little longer pathway to get there. But yes, I would say industrial certainly has a clear path towards grow.
Ketan Mamtora: Understood, that’s helpful. And then Mike, when I look at sort of the inventory position, sort of in the balance sheet, it's a pretty big jump year-over-year. I suspect some of it is, sort of higher prices. Some of it is, M&A driven. But I'm just curious kind of as you look to the spring construction season, kind of, with, with lumber pricing, starting to ease in all the from very healthy levels and kind of look at your inventory position, how would you sort of characterize it, for where you are at the end of Q1?
Mike Cole: I think we're comfortable with our inventory levels at the end of Q1 as we've indicated, demand and order files are all good across really all the segments. So I might feel like your inventories are in are in really good shape.
Ketan Mamtora: Got it. Okay. That's helpful. And then, Mike, would it be possible to would you have the sort of the bonus expense number handy for Q1 2022 out of that 220 million of SG&A?
Mike Cole: Yes, I do. That's sort of bonus expense was $69 million in Q1 of 2022. And it was $37 million in Q1 of 2021.
Ketan Mamtora: Perfect. That's, that's very helpful. And then just one last question on the Deckorator side. I know sort of the revenues, the sales, and I'm talking about just the composite decking side, sales were up 5%. But I would have thought with sort of the price increases that we've had over the last, call it 12 months. I would have expected that number to be even higher. Are there seasonal components to it, is there anything else, from a sort of inventory position in sort of with the -- in the channel is there anything else that that you guys would point to?
Matt Missad: Yes, I think Ketan, there's certainly timing issues that come up. I think some of the pricing is set ahead of time. We've tried to add in some additional material costs, I don't think all the pricing will have been baked in in Q1. So I think those things that will improve, if you will. Overall, though, I think the market is strong, the demand for us is still strong. But I think part of this is the additional capacity that we have coming online isn't fully up to speed yet, it usually takes a little while to get it involved. So as that comes on, our capacities will improve and increase. And I don't know if Mike, do you have anything to add there?
Mike Cole: Yes, the sales, the 5% that you were quoting Ketan, that's a unit sales. So pricing would be -- price increases would be on top of it.
Ketan Mamtora: I see. Okay, perfect. Now that's, that's, that's all from my side. Thank you.
Matt Missad: Thank you, Ketan.
Mike Cole: Thanks Ketan.
Operator: I'm showing no further questions in the queue at this time. I would now like to turn the call back over to management for any closing remarks.
Matt Missad: Well, like Miguel Cabrera, we're off to a great start in 2022. And we will be pushing hard to continue this success and to break more records. And I personally couldn't think of a better team to be a part of with the experience and the expertise to navigate the hurdles and to exploit the opportunities ahead. Each of our business units has a solid growth plan and is generating excitement for their own future opportunities. We know in 2022, we will definitely innovate and broaden and strengthen the foundation of our company to create even more shareholder value in the future. We also know that fear is a greater motivator than greed and fear is definitely driving many investment decisions today. As a solutions provider, our goal is to help you redirect your fear to drive better economic results. So what is our antidote for FOMO? It's UFPI, of course. And it is available each trading day on NASDAQ. Thank you for your time today and thank you for your investment in us. Have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.